Operator: Good morning, and welcome to the AZZ First Quarter Fiscal 2026 Results Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Sandy Martin of Three Part Advisors. Please go ahead.
Sandra Martin: Good morning, everyone, and thank you for joining us today to review AZZ's first quarter fiscal 2026 results for the period ended May 31, 2025. Joining the call today are Tom Ferguson, President and Chief Executive Officer, Jason Crawford, Chief Financial Officer, and David Nark, Chief Marketing, Communications and Investor Relations Officer. After today's prepared remarks, we will open the call for questions. Please note that the live webcast for today's call can be found at www.azz.com/investor-events. Before we begin, I want to remind everyone that our discussion today will include forward-looking statements made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside the company's control. Except for actual results, AZZ's comments containing forward-looking statements may involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the latest annual report on Form 10-K. These statements are not guarantees of future performance. Therefore, undue reliance should not be placed upon them. Actual results could differ materially from these expectations. In addition, today's call will discuss non-GAAP financial measures, which should be considered supplemental to and not as a substitute for GAAP financial measures. We refer our shareholders to our reconciliations from GAAP to non-GAAP measures and those are contained in today's earnings press release. I would now like to turn the call over to Tom Ferguson.
Tom Ferguson: Thank you, Sandy. First, we at AZZ send our condolences to the families affected by the flash flooding throughout Central Texas. Having grown up in Austin, I've river rafted the Guadalupe and camped along its banks often in my younger years, so I have a special place in my heart for folks affected throughout Central Texas, including friends and family. We are pleased to share our first quarter results. Today, we reported record high sales, adjusted EBITDA, and EPS for the quarter ended May 31, 2025, along with industry-leading adjusted EBITDA margins of 32.9% for Metal Coatings and 20.7% for Precoat Metals. These positive operating results were driven by infrastructure-related demand in key markets for our Metal Coating segment, including construction, industrial, and electrical transmission and distribution. Similarly, our Precoat Metal segment experienced growth in construction, our largest market sector, as well as in the aluminum container market. We did take the opportunity during the quarter to restructure the Metal Coat and Surface Technologies platform. We closed one powder coating facility and divested a plating facility to better position the Surface Technologies platform to achieve greater than 20% EBITDA margins. For Precoat Metals, while sales were down slightly versus the prior year due to lower demand, the team outperformed the market when compared to the National Coil Coaters Association or NCCA. Importantly, Precoat shipments were up for the quarter as its customers began to draw down their inventories from Precoat warehouses. Dave will discuss industry trends in a moment. As we announced during the quarter, we monetized nearly all of the electrical product businesses that were held within our Avail joint venture and received $273 million in cash during the quarter. As a reminder, Avail still owns and operates the WSI and Lighting businesses. Jason will walk through the details of the transaction in a moment. Our consolidated adjusted EBITDA for the quarter was over $106 million, representing an adjusted EBITDA margin of 25.2%. This is supported by higher EBITDA margins over the first quarter of last year in both segments. Additionally, we are excited to report our newly commissioned aluminum coating facility in Washington, Missouri shipped its first qualification orders during the quarter. As we ramp up sales at the new facility throughout the year, we expect operating leverage to continue to improve and we anticipate gross margins to turn positive in the second half of the year. We continue to invest in systems that enable us to improve productivity and better support our customers with AZZ's proprietary technology, specifically our Digital Galvanizing System or DGS platform, which serves all of our galvanizing plants and coil zones in our Precoat facilities. These technologies provide our customers with real-time updates and enable management to gain business intelligence, further enhancing production efficiencies across our 46 Metal Coatings locations and 14 coil coatings facilities throughout North America. On July 1, we announced the acquisition of Canton Galvanizing located in Canton, Ohio. This acquisition is immediately accretive as it further scales our galvanizing business with predictable synergies. We will also benefit from gaining a new set of customers to serve in that market and the expansion of our spin galvanizing offerings. Our distinct competitive advantage is deeply rooted in high-value, environmentally responsible solutions with nearly seven decades of technical expertise, customer-centered digital platforms, and a network of strategically located facilities across North America. AZZ's longstanding deep customer relationships combined with a culture of operational excellence position us well to sustain growth and add to profits and significant cash flows this year and for many years to come. I am incredibly proud of our progress and the accomplishments of the entire team. In fiscal year 2014, we initiated a strategy to drive greater operational and customer service excellence, as well as to optimize the Metal Coatings business. The successful execution of this strategy has ultimately transformed the company through a series of strategic acquisitions and divestitures, which culminated in the pure-play Metal Coatings company we are today. AZZ is a leader in the North American Metal Coatings market, and over the past twelve years, we have added over $1 billion in sales through the disciplined execution of our organic and inorganic growth initiatives, expanded our margins, and doubled our EBITDA. Coming out of COVID, we shifted our strategy and embarked on transforming AZZ into a pure-play Metal Coatings company. A key part of our strategy included the acquisition of Precoat Metals in 2022, which has outperformed our expectations. We are also proud of the significant progress achieved by monetizing a large portion of our Avail joint venture following Fernweh's sale of legacy electrical businesses to Invent. This deal is a testament to the success of our long-term strategy. I am very pleased with the strength of our team, our financial position, as well as the trajectory of our business growth initiatives. With that, I will turn it over to Jason.
Jason Crawford: Thanks, Tom. We are very pleased with our first quarter results which align well with our full-year fiscal financial guidance. We reported first-quarter sales of $422 million compared to $413.2 million for the same quarter in the prior year. Total sales increased by 2.1% versus last year. Growth was driven by the Metal Coating segment where sales rose 6% in Q1, due to higher steel volume processed offset slightly by lower mix-related selling price. Precoat Metals outperformed the market despite sales from the quarter declining 0.8% as customers navigated through inventory challenges associated with tariff concerns partially offset by an increase in the average selling price. The first quarter's gross profit was $104.1 million or 24.7% of sales, compared to $102.7 million or 24.9% of sales in the prior year quarter. During the first quarter for Metal Coatings, we incurred a $3.8 million restructuring charge related to the previously mentioned disposition of a small powder coating facility and a small plating facility. In the Precoat Metals segment, our new Washington, Missouri coil coating facility began production in the first quarter, which has planned to create a slight drag on margins. Without these two items, consolidated gross margins for the quarter would have been higher by 110 basis points compared to the prior year quarter. Selling, general, and administrative expenses totaled $34.4 million in the first quarter, which included a charge to the executive retiree long-term incentive program and its related acceleration of stock awards. This resulted in a non-cash charge of $2.2 million in the quarter. Excluding this add-back, Q1 SG&A costs were 7.7% of sales, an improvement versus 8% of sales in the prior year quarter. Operating income for the quarter was $69.5 million or 16.5% of sales, compared to $69.7 million or 16.9% of sales in last year's first quarter. Current quarter operating margins also compare favorably to the prior year when you adjust for the items highlighted in gross margin and SG&A expense. As Tom mentioned, Fernweh, our 60% joint venture partner in Avail, divested the majority of its electrical products businesses in the quarter. As part of the divestiture, we received a cash distribution of $273.2 million and we recorded $165.8 million on the income statement as positive equity and earnings, which represented the excess distribution after writing off the total equity investment of $107.4 million. Total equity and earnings for the period were $3.5 million representing Q1 equity and earnings of $7.7 million plus the excess income from distribution of $165.8 million. Regarding the future estimates for equity and earnings in the Avail JV, representing our 40% JV ownership interest in the remaining Avail businesses, we are currently forecasting a range of zero to a small plus or minus for the remaining quarters of this year. Interest expense for the first quarter was $18.6 million, down $4.2 million from the prior year due to a combination of debt pay down and debt repricings. As the Avail funds were received in May, this had minimal impact on interest expense in the quarter. The current quarter's income tax expense was $54.9 million reflecting an effective tax rate of 24.3%. This includes $42.5 million of accrued taxes on the equity and earnings recorded in the period. Excluding the impact of equity and earnings, our effective tax rate would have been 22.2% compared to 24% in the prior year quarter. Reported net income for the first quarter was $170.9 million compared to $59.6 million for the prior year quarter. Since our non-GAAP measure for adjusted net income excludes, among other items, equity and earnings from the Avail divestiture of $165.8 million, AZZ reported adjusted net income of $53.8 million or adjusted diluted EPS of $1.78. This compares favorably to the prior year's adjusted net income of $44 million or adjusted diluted EPS of $1.46. On an adjusted basis, our first-quarter earnings increased by 22.2% compared to the same period of the prior year. First-quarter adjusted EBITDA was $106.4 million or 25.2% of sales compared to $94.1 million or 22.8% of sales in the prior year. The 240 basis point improvement in adjusted EBITDA margin was mainly driven by increased volume, productivity improvements, and the performance in the quarter from the Avail JV. Turning to our financial position and balance sheet, for the first quarter, we generated cash flow from operations of $304.8 million from the Avail divestiture I mentioned earlier. Under GAAP accounting, this JV distribution was recognized as a cash flow from operations. Q1 capital spending was $20.9 million, of which $3.2 million related to the new Washington, Missouri facility. In the quarter, we realized proceeds of $3.8 million from the sale of certain property, plant, and equipment. Proceeds from the Avail divestiture combined with free cash flow generation allowed us to pay down $285.4 million of debt in the quarter. The pay down of debt and our continued financial performance, our credit agreement net leverage ratio improved to 1.7 times compared to 2.8 times in Q1 of last year. Our capital allocation strategy remains disciplined, with a focus on debt pay down, investments in organic growth combined with strategic M&A, as demonstrated by the bolt-on acquisition announced on July 1. Additionally, as part of our capital allocation plans, we expect to pursue regular and opportunistic share repurchases under our current 10b5-1 buyback plan in the current fiscal year. And finally, the board approved an increase to our quarterly cash dividend from $0.17 per share to $0.20 per share, representing a 17.6% increase. With that, I'd like to turn the call over to David.
David Nark: Thank you, Jason. In Q1, we continued to see the demand from infrastructure-related project spending benefit AZZ across multiple end markets. Overall market strength continued in both construction and electrical, driven by continued growth in submarkets, including data centers, electrical transmission and distribution, and solar power generation. This was somewhat offset by lower demand in end markets including industrial, particularly ag transportation, as well as appliance and HVAC. The aluminum transition in food and beverage packaging remains a key driver for growth in the business and we are excited about our new Greenfield plant which continues to ramp production. We will also continue to benefit from the execution of reshoring activity accelerated by Invest in America initiatives and tariffs under the current administration which we believe will be tailwinds for the domestic steel market as well as US manufacturing and warehousing. As we are busy in an active construction season, our teams are well positioned to execute for the remainder of the fiscal year. With that, I would now like to turn the call back over to Tom.
Tom Ferguson: Thanks, David. Fiscal year 2026 is starting off with good momentum. And our teams continue to focus on the disciplined execution of our strategic plan by growing via market share expansion and converting customers from postpaid to prepay. As Jason discussed, our capital allocation playbook remains active with the recent acquisition on the metal coating side, debt pay down, an increase in our quarterly cash dividend, and a plan to opportunistically repurchase our stock to offset dilution. We believe AZZ continues to be undervalued at nine to ten times forward EBITDA which gives us confidence to buy back our stock. Today, we are reiterating our sales and EBITDA guidance and are moving up our EPS guidance. We continue to believe that our fiscal 2026 sales will be in the range of $1.625 billion to $1.725 billion and adjusted EBITDA will be in a range of $360 million to $400 million with the midpoint representing our best estimate. Regarding adjusted diluted EPS, we believe that $5.75 to $6.25 better reflects our current forecast, which means an increase of between 10% and 20% over the fiscal 2025 adjusted earnings. These numbers are supported by strengthened demand forecasts and continued momentum in our operational performance. Liquidity position and balance sheet are strong and flexible, particularly following our debt reduction in the first quarter. Also, we are well positioned to pursue strategic growth opportunities including our other capital allocation strategies as already discussed. To summarize, AZZ delivered a great start to fiscal 2026. Both Metal Coatings and Precoat Metals performed well with strong profitability and disciplined execution of our business strategy. Now, operator, we would like to open up the call for questions.
Operator: And the first question comes from Ghansham Panjabi with Baird. Please go ahead.
Ghansham Panjabi: Thanks, operator. Good morning, guys. Congrats on a strong start to your fiscal year '26. I guess on that, if I remember correctly, volumes during your 4Q quarter were impacted by some extent because of the weather and some of the tariff uncertainty, etcetera. Did 1Q benefit from any sort of normalization in volumes accordingly?
Tom Ferguson: Yes, there was some, I'd say on the metal coating side was where we were mostly affected by storms, weather, that kind of thing. And I'd say so about half of that was recovery from Q4, and the other half was, you know, pure organic growth.
Ghansham Panjabi: Got it. Perfect. And then in terms of, you know, your prepared comments and also the press release you referenced, improved zinc utilization for metal coatings during the first quarter, obviously very, very strong performance for that segment from a margin standpoint. Can you just give us more specific color on what drove that? And also give us the volume numbers by segment specific to 1Q? Thank you.
Tom Ferguson: Yeah. I can talk to the first part. You know, I think what the team's been doing and we talked a lot about digital system, developing the leadership bench, the playbooks we have, the training, the technical capabilities, engineering, you put them all together, and we're in many parts of our particularly, our galvanizing operations. We're pretty much nearing the theoretical zinc efficiency levels because and it's, you know, it's all those factors together. Everything from digital tools, the training, experienced people, leadership, and just managing a lot of the details really, really well. I think the team still feels like they got a little bit of room, but in terms of zinc efficiency, and productivity, we're getting to the close to perfection. Obviously, we still have opportunities on labor productivity, utilizing our assets efficiently, continuing to invest in things that'll make us even more productive from those perspectives and continuing to drive outstanding quality and service for our customers and meet, you know, lead the industry in terms of short cycle times. So I don't think we typically give volumes. I'm looking over at Jason and David. Yeah. We typically don't break out the volume number specific in the reporting.
Ghansham Panjabi: Gotta try anyway. Okay. Thanks so much, guys.
Operator: And your next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hey, good morning, guys. Congrats on the strong Q1.
Tom Ferguson: Thanks.
Adam Thalhimer: I wanted to ask on the outlook for Precoat. You mentioned that customer inventory levels are higher than last year. You have Washington ramping up. And I'm curious if there is an impact of tariffs on imported prepainted steel. Just curious how that all rolls up in terms of your top line expectations at Precoat.
Tom Ferguson: Yes. I'll give you some color on that. David may want to add something. But yes, so yes, our customer inventory, so when we talk about sales, we're talking about what we produce and how we recognize revenue. When we're talking about shipments, that's the shipments out of inventories in our warehouses for customers. So a couple of things. One, the inventories have ramped up as towards the end of the year. And in the first quarter, we had customers pulling inventory down, which we view as the true demand. Now overall, the markets are still generally down when you look at the NCCA or the NVNA. So you know, we're down less than the overall market, but seeing we did as a positive sign that the customers are pulling inventory, which says they've got, you know, demand. When it comes to the imports, we did see a ramp up coming into the year of imported prepaint in anticipation of the tariffs. And then since then, we've seen the drawdown. So we've seen those prepainted imports falling off pretty dramatically here at the last few months and, I don't know, David wants to add anything to that.
David Nark: I would just add, yeah, a little more color on that. In May, the prepainted imports overall fell 38% year over year. You know, there was a 50% drop in April. So collectively, you know, on a calendar basis, about a 20% decline year over year, which really aligns with the team's expectations on what we imagine that the tariff impact would be. So, you know, as we roll forward, we think that, again, as we talked in our prepared remarks, that can provide a bit of a tailwind for the business as people will be sourcing steel locally. And, obviously, we're in a great position to coat that steel here in the domestic market.
Adam Thalhimer: Good. Good color. And then just quickly, the two small facilities that you disposed of during the quarter, do those volumes get shifted to another facility?
Tom Ferguson: Yeah. One of them was over in Tampa, and we don't have any other facilities over there. But it was a small facility. Keeping in mind that total Surface Technologies is, you know, one to one and a half percent of our overall sales. So and then the other facility was, you know, it was plating. We'll pick up some of that. We've got facilities in the area. So not a tremendous impact on sales, but definitely, you know, they were not profitable facilities. So an opportunity to clean that up, retain some of the volume, and clearly drive improved profitability through that. Because we also took some G&A cost reductions as well to better align the overhead structure with the remaining volume. So, you know, just a good time to do it, and we've been at it for about three years, done what we could do. Still think there's opportunities in it, but we want to get it up to where it's, you know, a more profitable contributor to the segment.
Adam Thalhimer: Perfect. Thanks, guys. I'll turn it over.
Operator: And your next question comes from Nick Giles with B. Riley Securities. Please go ahead.
Nick Giles: Thanks, operator. Good morning, everyone. Guys, really significant debt reduction in the quarter, which is great to see. You're now comfortably below two times. So just hoping to go back to capital allocation. I mean, is it fair to assume we could see share repurchases kind of tick up in future quarters or other considerations should we keep in mind? Thanks.
Tom Ferguson: Yeah. You know, we took the dividend up for the first time in a while. So we had a that was a fairly easy decision for us. In terms of share buybacks, as we've stated, we're committed to buying in. We have the approved $100 million facility which I think we have roughly half of it left. So we've got plenty of room within the approved facility to acquire our stock or buyback. And we're committed to doing that. I think we've, as we've talked, we've got a full pipeline of bolt-on acquisition opportunities. So we'd like to get another one or two closed, particularly on the metal coating side. We were really pleased at getting the Canton Galv deal done. We were a little rusty. It took us a little bit longer to close it than we probably would've liked, but I think we're all, you know, buffed back up and ready to remain active. So feel real good about that, and then, yeah, we are kind of on the debt reduction side. Pretty quickly approaching one and a half times leverage, which is pretty is the low end of where we'd like to be. So, yep. Share buybacks, get some additional deals done, and we've got good investment strategies for capex to continue to improve our productivity and allow us to take share and expand our services. And then we're committed to every year now looking at the dividend.
Nick Giles: That's all great to hear. Appreciate that, Tom. My second one, just be great to hear more color on what you're hearing from customer and project perspective, particularly on the back of the copper tariff announcement. So are you hearing any rumblings of timelines that could shift out? I know it's this is very recent. But just curious on your thoughts given how copper intensive some of your end markets are.
Tom Ferguson: Yeah. That one we don't have much input on because it is so recent. I would say prior to that, we were hearing positive things. You know, getting the tax cuts approved so that, you know, that becomes predictable for projects companies. Still love to see a Fed rate cut. I think a lot of our customers are, you know, it's just project viability. It would improve it slightly. But I think the reshoring, a lot of the data centers just continued expansion, Infosys monocoding side, you know, it's all pretty positive. But the more settled with the big beautiful bill or whatever they're calling it these days, the more things are settled, the more opportunity I just read in Wall Street today, you know, the administration reducing a lot of the environmental holds and things like that to streamline permitting. That's all positive. But we will, over the next couple of weeks, be checking with customers on what this latest news may mean. I'm not sure that I would not see it as a significant impact on the kinds of projects that we're looking at.
Nick Giles: Got it. Well, guys, great work again, and keep it up.
Operator: And your next question comes from Daniel Rizzo with Jefferies. Please go ahead.
Daniel Rizzo: Hey, guys. Thank you for taking my question. So the outlook, I mean, it was a pretty solid quarter and you raised your EPS guidance. I was just I was a little surprised if you didn't raise EBITDA as well. I don't know. It just seems like things are going fairly well. And I don't know if you're seeing a lot of uncertainty or would cause you to trigger to be a little more, I guess, a little more positive with EBITDA and sales as well what's causing maybe some hesitance?
Tom Ferguson: I think on the sales side, we're just continuing to, you know, the tariff uncertainty just continues to make us a little cautious. You know, since we don't have backlogs, we're just basically we've got great customer relations and talking about their future plans and what they're doing. Which I just alluded to, which is relatively positive going forward. But the fact that there's still that tariff uncertainty, what does it mean, so we're cautious on the sales side. We've got lots of levers to pull on the EPS side, so that's why we get more confident on that. EBITDA, just keep in mind that with the Avail transacting the electrical businesses that so we're gonna lose EBITDA from what was equity income, but we're getting interest savings. That offsets that. So that's in the ten, twelve, thirteen million dollar range, but they offset. So that's a headwind for EBITDA. But a tailwind for EPS. It's an that's about as far as we've calculated at this point.
Daniel Rizzo: Thanks. That's actually very helpful. And then if we think about the margin improvement you've kind of done already and what we expect going forward, I assume that a lot of what's going forward is gonna come from just better throughput or I mean, are there additional levers you can pull or as we just look for provide improvements to kind of drive most of that?
Tom Ferguson: You got a couple of things going on. On the Precoat side, we do have the new facility ramping up. As I've talked about previously, we view for that ramp really to hit in the second half and then as we finished the year in the fourth quarter. So that's volume and EBITDA flow through that we were anticipating. On the we will have the addition now of not that it's huge, but it's a, you know, typical site from the Canton Galv acquisition. Hopefully, get another one done. And then it's just the typical organic growth continuing to drive on market share. The levers that we will always focus on is related to operational excellence, how we manage our expenses, keeping things tight as you know, as the year plays on plays out and seeing where tariffs go. So you know, we feel like we've got good levers. We'll, you know, based on good talk about the fact, we'll we may be out repricing our debt again. There's things that we've got, that should be positive going forward from an EPS perspective. And, you know, we'll pull all those levers as we go forward.
Daniel Rizzo: Jason, I'm gonna add. Yeah. Okay. Alright. And then final question just yeah. When we look at M&A and your activity, should we think about it like like we just saw where, like, there's, like, site additions and maybe some smaller tuck-ins? Or are there things that are not necessarily transformative, but are there bigger things out there that could be added to the network?
Tom Ferguson: Yeah. From the metal coatings, side is mostly the one-offs that we have in the pipeline right now. There's a couple of multisite things, you know, six, seven, eight sites out there that if they come available we'll obviously be very interested and believe we have good relationships in both those cases. But we can't predict when that would happen. What we can predict is that, you know, the one-offs that are in the pipeline now. And can we get those closed? Can we get the right deal done? On the Precoat side, it's typically if we can buy a line from somebody, otherwise, which would be the smaller side. But if we could and then it's gonna get bigger. But by bigger, there's, you know, same thing. There's a couple of multisite opportunities out there that, you know, those would be bigger if they're gonna take a little bit longer. So I think if, you know, to see those, it'd be towards the end of this year getting into next year before we would be looking at those kinds of things or actively pursuing. But there are some out there. So and we like to think they're, you know, nicely placed in our pipeline as we continue to generate cash at the levels we're doing.
Daniel Rizzo: Thank you very much.
Jason Crawford: And I will add one other thing. David had just shown the Dodge Momentum Index is showing up 7%. So things are trending in a positive way.
Operator: And your next question comes from Mark Reitman with Noble Capital Markets. Please go ahead.
Mark La Reichman: I was just curious, you know, in the past, you've kind of described the bolt-on acquisitions as those with kind of revenue in the $10 million to $20 million range and EBITDA in the $3 million to $4 million range. I was just wondering, is Canton is that a does that match pretty much that profile, or was it on the smaller side? And because that asset was relatively new, are there meaningful opportunities to improve the economics once integrated?
Tom Ferguson: Yeah, that's a great question. It's within the range, but on the lower side of that range you just gave in the $10 million to $20 million. It was nicely profitable, so it's definitely not a fixer-upper. Very nice business with, you know, a good customer base that so, you know, can we add some we will drive some margin improvement using DGS. We've got a good sales team in the area, things like that. So we would hope to grow it quickly out of the box and improve the margin somewhat. But it was already in a very nice profit range.
Mark La Reichman: Thank you. And then second question, I guess, really last question is, the Precoat Metals sales were down relative to the prior year period. I was just wondering if you could kind of provide your expectations for the Precoat Metal segment in terms of maybe sales growth or margin given that there's some moving pieces there with the, you know, with the Washington Missouri facility coming online and expected to operate at a slightly higher margin.
Tom Ferguson: Yes. I think as we talked, the Precoat has been more affected by the tariffs and some moving pieces when it comes to imported prepainted metal and stuff like that. So, you know, their volumes were affected, but I think the thing I would point to, their margins were up, and that just demonstrates the variability of their cost structure. They like on the metal coating side, they can adapt their cost quickly due to the variability of it. And sustain their margins. And so we look for them to continue that discipline focus and adjust as volumes, you know, play out. So as the new facility ramps up, you know, this first quarter was test qualifications, things like that. Finalizing, the equipment performance. This quarter, we'll start to ramp some volume up. And then as we get into the third quarter, you know, we start to start to get into a pretty good level of contribution in the fourth quarter. Hoping to be at, you know, almost normal run rates. It's a lot of moving pieces, so I don't want to oversimplify that. But, you know, so far, everything's been tracking really well. The team's been doing a great job of bringing up a large complex facility. Jason, I don't know if you want to add something to that.
Jason Crawford: No. No. I think you highlight the two main points there, which, you know, greater margins and smaller volumes. So businesses do know the right things. Q1 was a fairly disruptive quarter just in terms of the volumes associated with the import material coming in and, you know, some build ahead in terms of the tariff impact. So we see that starting to come back out of the system as we enter Q2 and going forward.
Mark La Reichman: That's great and very helpful. Thank you very much.
Operator: And your next question comes from John Franzreb with Kansas City Capital. Please go ahead.
John Franzreb: Good morning, everyone. Question for David. David, you mentioned a couple pieces of the metal coating business being strong. That is solar and electrical. And I guess with this passage of the big bill and maybe the solar subsidies easing, what do you how do you how do you look at the outlook for the solar piece of that of the metal coating business? And maybe also, you know, they're talking about copper tariffs going up 50%. Any thoughts on how that might impact the business?
David Nark: Yeah. Sure thing. As you look at it, you know, with respect to the first part of the question, I think what we're seeing and are going to expect to see is that there'll be a pull forward of some of these projects specifically the solar projects. Those will need to as they look at the what's happened with the big beautiful bill and some of the cuts that have happened. Those need to get from planning into production within the next twelve months. And then they need to be completed within, you know, by 2027. So we do think that a lot of the solar projects that are in the pipeline are going to get pulled forward as a result. So that could provide some tailwind again for the business, you know, in the shorter term.
Tom Ferguson: Yeah. And I'd also add that, you know, our electricity demand is gonna continue to go up with the addition of all these data centers. And so it's gonna have to be electricity of some kind. That comes into place, whether that's new gas turbine plants or other things. So all of and as long as it uses this steel, then we can galvanize or paint. We're good with it.
John Franzreb: Okay. Tom, not that it's a big deal, but the remaining interest in your joint venture industrial lighting, but does that also include the welding business?
Jason Crawford: Yes. That it does include the Welding Solutions Inc., which is the WSI business, which is the bigger piece of it.
John Franzreb: Okay. Now did they not have exposure to the nuclear industry?
Tom Ferguson: They do. They do. That's at one time, that was almost half the business. It's a smaller piece now, but it's still a good solid piece, and that has lots of opportunities.
John Franzreb: Okay. I mean, can it move the needle for you?
Tom Ferguson: You know, I think right now, the Avail team's focus is on supporting the TSAs with the Invent for the divested business, not that they're not paying attention to WSI and lighting. But I think, you know, there is that opportunity. I think we've got a board meeting coming up here in another month, so we'll get better color on that. But, you know, I yeah. No. There's that that used to be a very profitable piece of the business. If you go back a decade or so.
John Franzreb: Yeah. Yeah. Okay. Alright. Alright. Thank you very much.
Operator: Sure thing. And your next question comes from Jerry Sweeney with Roth Capital. Please go ahead.
Jerry Sweeney: Good morning, everyone. Most of my questions are just one quick one, and probably an easy one. But just with the acquisition's been galvanizing, I think you mentioned you announced that you know, that expands that type of business. Just curious if the spin galvanizing side, you can leverage some of your existing customers and sort of what is the potential revenue capacity at the Canton facility?
Tom Ferguson: Yes, we've got a facility in the vicinity within a few miles, which is a larger much larger kettle structural, does a lot of structural work. So we'll be operating those two plants optimizing, you know, what customers we can bring in. And just viewing it as a broader set of capabilities and capacities. So, yeah, I think between the two, the team will focus on optimizing the capacity utilization. There are some customers including some vertically integrated customers for the Canton galvanizing, which will be additional customer base for us at our existing site. So, you know, it's a fun one. But, you know, these things, if we can pick up another five or six million of incremental volume, across the whole thing, that you know, so not huge. Right? Nothing nothing yeah. Not huge, but like I said, fun and getting back in the bolt-on acquisition game makes us feel good and getting another flag planted and another one under our belt. So hopefully, we get a couple more net. It gets the comp left out, as you said.
Jerry Sweeney: I appreciate it. Congrats on a nice quarter. Nice start to the year.
Tom Ferguson: Alright. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Tom Ferguson for any closing remarks.
Tom Ferguson: Thank you, operator. Thank you all for joining us today. As we continue to believe, we've got an outstanding business with tremendous cash flows that we intend to utilize well and deploy to continue to grow this business, to buy back stock as we move forward. And continue to invest in acquiring businesses that we think we can drive great synergies and become a great piece of our platform. We feel well positioned for this year, and believe we're off to a great start. Looking forward to finishing up the second quarter and talking to y'all in just a couple of months. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.